Tony Righetti: Fiscal year 2026 results. With me on today's call are Jennifer Tejada, PagerDuty's chairperson and chief executive officer, and Howard Wilson, our chief financial officer. Before we begin, let me remind everyone that statements made on this call include forward-looking statements based on the environment as we currently see it, which involve known and unknown risks and uncertainties that may cause our actual results, performance, or achievements to be materially different from those expressed or implied by the forward-looking statements. These forward-looking statements include our growth prospects, future revenue, operating margins, net income, cash balance, and total addressable market, among others, and represent our management's belief and assumptions only as of the date such statements are made. And we undertake no obligation to update these. During today's call, we will discuss non-GAAP financial measures which are in addition to and not a substitute for or superior to measures of financial performance prepared in accordance with GAAP. Reconciliation between GAAP and non-GAAP financial is available in our earnings release, which can be found on our investor relations website. Further information on these and other factors that could cause the company's financial results to differ materially are included in filings we make with the Securities and Exchange Commission, including our most recently filed Form 10-K, as well as our subsequent filings made with the SEC. With that, I will turn the call over to Jennifer.
Jennifer Tejada: Thanks, Tony. Good afternoon, and thank you, everyone, for joining us today. In the first quarter, PagerDuty delivered revenue of $120 million, representing 8% growth at the top of our guidance range. Our relentless focus on disciplined cost and investment management continued to yield results with non-GAAP operating margin reaching 20%, exceeding our target by 500 basis points. Given the substantial process we have made on optimizing our bottom line performance, we have a clear path to GAAP profitability. Annual recurring revenue increased to $496 million with 7% growth year over year. Dollar-based net retention was a %, reflecting higher than expected customer downgrades in our enterprise segment and elevated churn in our commercial business. These results reflect transitional dynamic in our go-to-market motion and are not at the standard that we expect from ourselves. We are collectively committed to more consistent sales and marketing execution and efficiency and have taken immediate and comprehensive action to improve overall top-line results. We did achieve significant improvement in net new paid customers driven by our new commercial digital acquisition strategy, leading to our largest increase in eight quarters. While many of our enterprise relationships span several years, we're evolving our coverage model. We're moving from a tactical and transactional approach to building more strategic cross-company relationships with our customers. This transition requires us to more effectively scale our pre and post-sale practices, including more comprehensive customer roadmap planning and more structured professional services and product adoption frameworks. In addition, we must progress in leading with AI from a platform perspective and developing deeper and more senior relationships from a customer perspective. While we do this well in many large accounts, we can and will scale it more effectively. This is a critical focus for our sales, marketing, and customer organizations. Under the leadership of our new chief customer officer, we're executing on this transformation through enhanced post-sale enterprise engagement. These improvements combined with streamlined upgrade, mitigate migration planning will enable our enterprise customers to accelerate value realization while leveraging more of our platform. While these changes will take time, we're confident they will strengthen enterprise relationships and drive adoption of our advanced capabilities, an enterprise incident management and our AI solution set, PagerDuty Advance. Our platform's strategic value continues to resonate with customers as demonstrated by expansion activity across approximately a quarter of our enterprise accounts in Q1. This broad-based expansion reflects the ongoing of PagerDuty's operations cloud across our customer portfolio and provides a foundation for future growth as these customers mature their digital operations journey. One critical milestone in our enterprise sales transformation is approaching as more than 60% of our enterprise reps will have been in their role for at least a full year by the end of Q2. This shift reflects our ongoing efforts to expand our sales rep profile to that of a modern enterprise value-centric sales executive. Based on our historical sales ramping data and the anticipated appointment of a new chief revenue officer, we expect the increased seniority and experience of our maturing sales force to drive meaningful improvement in enterprise contribution through the second half of the fiscal year. We also strengthened our strategic partnership with AWS, announcing our collaboration agreement and expanding our integration earlier this month. Our platform now seamlessly integrates with Amazon Q business, Amazon Bedrock, and AWS Incident Manager, serving nearly 6,000 joint customers. A compelling example of this is Tuohy Group, the world's largest integrated travel company, which achieved a significant reduction in incident recovery time through our integrated solutions with the cost of a single disruption for an enterprise typically costing nearly $800,000. Our public sector expansion achieved FedRAMP low enabling federal agencies to leverage our AI and automation capabilities while meeting stringent security requirements. We're actively pursuing FedRAMP moderate authorization to further expand our public sector presence where we already serve over 700 entities. In addition, we have engaged new partners to support our public sector strategy, federal, state, and local entities. We hosted PagerDuty on tour 2025, our global customer events series in Q1 to drive demand for the back half of the year. Attendance increased 40% year over year. And we were pleased with the positive response to our expanded platform value proposition as well as the significant interest in our new AI products. From a product standpoint, we're evolving our pricing to reduce friction and increase flexibility for customers to leverage all the products on our platform. The evolution of our pricing impact includes flexible enterprise pricing and the inclusion of AI and automation capabilities across all of our incident management plans. Building on our spring release momentum, we're expanding our AI through the partner ecosystem. Our new solutions leverage generative AI to automatically summarize incident notes and post-incident reviews enabling faster issue resolution and organizational learning. Our new AI Scribe agent leverages transcripts from Zoom and Microsoft Teams to help operations teams summarize calls for better execution, faster resolution, and protecting revenue and reducing costs. Remain on track to launch three additional AI agents this quarter. Furthering our commitment to enhance operational maturity and effectiveness for our customers through AI and automation. Our experienced enterprise sales reps were land platform commitments by leveraging the value proposition of the operations cloud. The traction we're gaining in emerging native AI vertical in the emerging native AI vertical demonstrates that our platform is mission-critical for companies building and scaling AI operations. While we believe the TAM supports multiple winners, our roadmap of innovation and proven resilience at scale continue to differentiate us in the market. Particularly given the significant greenfield opportunity ahead. Let me share a few examples that demonstrate our enterprise momentum in strategic sectors. In the rapidly expanding native AI segment, a leading AI research and development company selected PagerDuty for a figure multi-year commitment. This win underscores the platform's ability to support mission-critical AI operations, including LLMs and agents, while meeting the most demanding scale, security, and reliability requirements. Their selection of PagerDuty over other vendors validates the strength and scalability of our enterprise-grade platform and strategic relevance in this transformative market. In financial services, a major enterprise customer expanded their PagerDuty deployment with a significant 6-figure upsell to an existing million-dollar customer as part of their operations modernization initiative. We successfully defended and expanded this relationship, winning against both established platform players and emerging challengers. The competitive win is particularly meaningful as this customer is known for early adoption of innovative technologies. And their selection of PagerDuty as their strategic platform for digital operations validates our market-leading position. The trust we've built through consistent platform performance and deep customer engagement combined with our proven ability to increase engineering productivity at scale enabled us to win additional business. In a landmark land, a global financial market infrastructure company, which processes quadrillions of dollars in security transactions annually, chose PagerDuty for a 7-figure multiyear digital operations transformation. This strategic displacement of several vendors validates our enterprise platform's unique combination of AI ops automation, incident management, customer service ops, and differentiate value proposition in the most operating environments. The customer's decision to their digital operations on our platform for automation and incident management exemplifies our market leadership in mission-critical enterprise environments where reliability and scale and security are paramount. Our international execution exhibited steady progress as well, evidenced by a major expansion with Europe's leading payment services provider, and a competitive platform win with a prominent Japanese education leader both representing meaningful 6-figure commitments. During the quarter, we continued to support our impact partners, including Watch Duty, a mobile app and web platform that provides real-time wildfire information and safety alerts in over 22 states and more to more than 16 million active users who rely on PagerDuty to ensure we can support them in achieving their life-saving mission. Our social impact work aligns with our mission to revolutionize operations and supports our ability to hire and retain great talent. We're progressing in meeting the sustainability requirements of our large enterprise customers, including achieving a 90% reduction in our scope one and scope two carbon emissions against the FY '23 baseline this quarter. We recently welcomed Don Cardi to PagerDuty's board of directors. Don brings deep operational and financial expertise from his extensive executive leadership experience, including his roles as the chairman and CEO of American Airlines and vice chairman and CFO of Dow. His deep understanding of enterprise transformation and operational excellence are invaluable as we execute our platform vision and enterprise growth strategy. Our search for a new chief revenue officer is progressing well with several accomplished enterprise leaders in advanced stages of consideration. As we look ahead, we're focused on three key priorities. First, demonstrating product market fit for our AI through monetization. Second, enhancing our enterprise engagement model to drive improved retention and expansion with our strategic accounts, and third, leveraging automation and AI within our own operations to scale more efficiently and accelerate our path to durable growth and GAAP profitability. This balanced approach helps us to capture the significant enterprise opportunity ahead. While this quarter's results reflect both organizational transitions and go-to-market execution challenges, we've taken decisive actions to strengthen our go-to-market motion and improve the return on sales and marketing investments. The fundamental drivers of our business remain strong as PagerDuty continues to differentiate itself as the trusted enterprise operations platform enabling customers to scale their AI and automation initiatives. We are confident that our enterprise strategy, combined with our demonstrated commitment to operational discipline and strategic capital allocation, will drive long-term value creation. I want to thank our customers for their continued partnership and our shareholders for their support, as well as our employees for their customer focus and dedication. And with that, I'll turn the call over to Howard and look forward to your questions.
Howard Wilson: Thank you, Jen, and good day to everyone joining us on this afternoon's call. Unless otherwise stated, all references to our expenses and operating results on this call are on a non-GAAP basis and are reconciled to our GAAP results in the earnings release that was posted on our Investor Relations website before the call. Before reviewing our first quarter financial results, I want to highlight a meaningful inflection point in our business model transformation. More than 60% of our enterprise reps will have been with PagerDuty for at least a year by the end of the second quarter, reflecting our strategic investment in experienced enterprise talent focused on higher value, more profitable customer relationships. Combined with our strong operational discipline evidenced by non-GAAP operating margins of 20% this quarter, we expect these maturing investments to drive meaningful improvement in our financial performance and advance our steady progress toward GAAP profitability next fiscal year. Moving on to results. Revenue for the quarter was $120 million, up 8% year over year. International revenue increased 11% annually, contributing 28% of total revenue. Annual recurring revenue exiting Q1 grew 7% year over year to $496 million. We delivered 104% dollar-based net retention. DBNR was negatively impacted by lower gross retention in the enterprise segment. We expect dollar-based net retention to remain between 103% and 105% throughout fiscal 2026. Customers spending over $100,000 in annual recurring revenue was up 5% year over year resulting in 848 by quarter end. Total paid customers grew to 15,247 in Q1 adding a 27 net new customers our strongest quarterly customer acquisition in eight quarters. This improvement was driven by targeted enhancements in our Commercial segment where we launched a new digital acquisition program and lowered the cost to acquire. Free and paid companies on our platform grew to over 32,000 an increase of approximately 9% compared to Q1 of last year. Q1 gross margin was 86% at the high end of our 84% to 86% target range. Operating income was $24 million or 20% of revenue, compared to $15 million or 14% of revenue in the same quarter last year. The outperformance compared to our guidance was primarily due to lower payroll and other personnel costs. In terms of cash flow for the quarter, cash from operations was $31 million or 26% of revenue, and free cash flow was $29 million or 24% of revenue. Turning to the balance sheet, we ended the quarter with $597 million in cash, cash equivalents and investments. On a trailing twelve months basis, billings were $492 million, an increase of 7% compared to a year ago, in line with our target for the quarter. With respect to Q2, we anticipate trailing twelve months billings growth to be approximately 7%. At the end of Q1, total RPO was approximately $430 million increasing 11% year over year. Of this amount, approximately $302 million or 70% is expected to be recognized over the next twelve months. Now turning to guidance. For the second quarter of fiscal 2026, we expect revenue in the range of $122.5 million to $124.5 million representing a growth rate of 6% to 7%. And net income per diluted share attributable to PagerDuty Inc. In the range of $0.19 to $0.20. This implies an operating margin of 17%. For the full fiscal year 2026, we now expect revenue in the range of $493 million to $499 million. Representing a growth rate of 5% to 7%. This compares to the range previously provided of $500 million to $507 million. And net income per diluted share attributable to PagerDuty Inc. In the range of $0.95 to $1. This implies an operating margin of 20% to 21%. This compares to our prior guide of $0.90 to $0.95, 19% to 20% respectively. Looking ahead, our strong balance sheet with nearly $600 million in cash and investments provides us significant to execute on our priorities while returning capital to shareholders through our $150 million share repurchase program. This balanced approach to capital allocation combined with improving sales and marketing efficiency as our enterprise reps ramp positions us well to deliver improved growth in the second half of fiscal 2026. With that, I will open up the call for Q&A.
Operator: Thank you, Howard and Jennifer. We're going to invite our panelists to ask their questions. And we'll turn first to Mister Rob Oliver over at Baird. Rob, if you'll come online with us.
Rob Oliver: Guys hear me okay?
Operator: We do.
Rob Oliver: Okay. Great. Hi, Rob. Hey. How are you, Howard? How'd you?
Howard Wilson: I'm trying to turn on my camera, and it doesn't appear to wanna come on.
Jennifer Tejada: There you are. There you are. You move a little slowly today.
Rob Oliver: So thank you for taking my questions. I guess Jen, first question for you. You know, obviously, you guys called out some of the enterprise pressure that you're seeing. You know, obviously, the pace of innovation right now within the IT suite and in particular within DevOps is pretty rapid given the emergence of generative AI. And I know you said, you know, you know, proving market fit or the language that you guys used for your GenAI solutions is one of your goals. But it you know, talk a little bit about, you know, how much of this is execution and how much of this is people perhaps holding back and looking at what other solutions might be out there. Is there a little hesitancy on the part of some enterprises given just how rapid the evolution of this market is on committing to multiyear contracts? Anything you're seeing there would be helpful. And then I had a follow-up for Howard.
Jennifer Tejada: Sure. Thanks for your question. It's primarily execution. You know, we undertook and initiated significant transformation in the quarter. It led to some gaps in the way we engage customers. The combination of moving some reps out of the business bringing new reps into the business, reassigning territories as you often do at the beginning of the year, just led to some of those coverage gaps, and that's on us. I don't I think that's an anomaly as opposed to an ongoing issue. And, you know, what we see, what I look at, what gives me confidence is the fact that new logo growth this quarter, which really signals demand particularly from native AI companies, but also from large companies that are making investments in AI infrastructure, in AI offerings, and even using AI internally. Those new logos grew by grew more than we've seen in the last two core last two years, eight quarters. The changes in the investments that we're already making in are leading to early indicators of what I think will be stronger execution through the back half of the year. And as Howard mentioned, more than 60% of our reps in the back half will be entering their second year or more with us. So we're gaining experience, and these are reps that come to us with more of a modern enterprise sales capability, a value-centric selling motion, and a top-down to relationship-driven capability with the c-level folks that are making the decisions that you're talking about. We've proven I think, the value of the operations cloud with these large transformative deals I talked today about a financial market infrastructure company that did a 7-figure deal with us really leveraging the entire operations cloud. We talked about a large LLM provider that also landed with us as opposed to working with potential other vendors out there. I don't think it's about the decision-making process. I think it's about us getting ourselves to the table. We've done with transformative ops cloud deals through the organization. And as you know, we've had success in increasing the percentage of ARR that's covered in multiyear deals. The last thing I would say that gives me a lot of confidence around this and also you know, has been very focused on execution is we've built a very strong financial base. So we will continue to focus on improving our efficiency. We have a clear path to GAAP profitability and sales and marketing and return on investment as a specific focus going forward.
Rob Oliver: Great. That's really helpful. Thanks, Jen. I appreciate it. And then, Howard, I had a quick follow-up for you, and that was just around, the full-year guidance implies you know, revenue growth exiting the year at 5%. So I'd just be curious to hear from you know, essentially how sort of derisked that feels to you. I guess a different way of asking the question would be, what sort of precautions or extra considerations did you bring to bear in that guidance relative to where we were at the beginning of the year? Thank you both very much.
Howard Wilson: Yeah. Sure, Rob. I would describe the guidance that we provided as being prudent. The primary input to that was based on the organizational transitions and some of the go-to-market execution challenges we had in Q1, that obviously has a flow-on effect in terms of revenue through the rest of the year. So on the basis of that, I reviewed what our current view would be in terms of that transition and the pace of those transitions. And as a result of that, have factored in that whilst we would see improvements in terms of bookings through the back half of the year as our sales reps continue to ramp, that we would need to have a different guidance range to reflect some of the early part of the year. Thanks, Rob.
Operator: Thank you. And next, we'll turn to Sanjit Singh. Sanjit is with Morgan Stanley.
Jamie: Great. Thank you, everyone. This is Jamie on for Sanjit.
Jamie: Guess it'd be great to just get a sense of, you know, what kind of adoption trends you're seeing in new modules such as PagerDuty Advanced and Enterprise Plus.
Jennifer Tejada: Hey, Juvia. It's still early days. I mean, some of the things we're seeing in terms of adoption of our generative AI solution is you know, one, we have customers that are very willing to experiment and other customers have to go through a significant process to get permission to experiment. But when you look at the products themselves, I mean, one, they are class-leading applications that now have a chat native experience. And a lot of our customers are working, you know, in Teams or in Slack and really want to leverage best-in-class incident and automation applications. We enable them to do that without moving around. We're bringing unmatched data and machine learning to the table. So other vendors, you know, will talk about incident management or automation but their dataset does not compare in terms of our ability to orchestrate the entire incident lifecycle by leveraging proprietary workflow event people and embedded machine learning data, to deliver that automation. And one of the things that we changed in the last quarter was we started to seed access to some of those newer features in all of our pricing. Historically, to discover and try some of those things, you had to be in one of the higher packages. And I think that's created that's removed some friction from trial. We're also making it easier to access our AI products by enabling customers to opt out as opposed to requiring them to opt in. So that reduces some of the friction in the product-led growth flow. But the feedback from both our early access partners and customers who are using the generative AI products has been very strong. And these are products generative AI is a big time saver. It's additive to the humans that are under stress trying to respond to and diagnose an event. We're really excited about the agentic offering where you're gonna be picking up whole tasks and workflows and really taking work off the plate of responders. And frankly, I think you'll need fewer responders and less people capacity being interrupted during their day to manage these big incidents. So, excited about that. Overall, very good reaction. At PagerDutyM tour, it was probably the thing that we heard the most discussion about from customers. How do I get my hands on this? How do I get my team starting to use this? You know, what do I need to do to make that work? So still early days for us, but we have a lot of confidence around the combination of our generative AI offering and our AgenTeq offering that's coming out this quarter.
Jamie: Great. Thank you so much. And then just as a quick follow-up, you know, would you be able to just give any additional color on the demand trends you're seeing in the SMB portion of the business versus enterprise?
Jennifer Tejada: Yeah. We've seen this is now two quarters of I would say, an improving demand signal. From SMB where, you know, over previous quarters, we were seeing a real deceleration. We're seeing new logos back, new customers landing. And I think a big part of it is access to capital that you know, they're we're seeing leadership from that segment of native AI companies that are well-funded, that are growing fast, that are adding employees quickly, but also are looking for a modern highly scalable, highly secure operations platform because they can afford risk around operational issues associated with their agents, their applications, their infrastructure, their LLMs. And we've also seen that trend crossover into enterprise. You've heard us talk in the past about large semiconductor providers that are working with us and investing and expanding multiple quarters during the year. So from a sector perspective, I would say, you know, SMB continued to strengthen from one quarter to the next. I think us separating our commercial segment which is really a digital-first motion and moving that under our CRO in order to refine our focus on enterprise is also because it means we can continue to evolve our product-led growth motion that drives a lot of top-of-funnel acquisition and maturity, but also be laser-focused on the enterprise transformation that we are working through.
Jamie: Excellent. Thank you so much for the question.
Operator: My pleasure. Okay, team. Next, we'd like to hear from Miller Jump. At Truist. Miller, please go ahead.
Miller Jump: Hey. Thank you for taking the questions.
Jennifer Tejada: Hi, Taylor.
Operator: Hey.
Miller Jump: So
Rob Oliver: guess
Miller Jump: also just dig in a little bit more on the enterprise churn that you all have talked about. Particularly, if you could give any more color on how broad-based this was in the customer base, and then maybe just in terms of the scope of the deals, like, or from a linearity perspective, really, like, was this something that kinda popped up at the end of the quarter? Obviously, April was a crazy month. And, you know, where you see it now. Thanks.
Jennifer Tejada: Lily, you were in the same April I was in. Yeah. Just to distinguish the two. So we saw more churn elevated churn in SMB, and that's you know, that that tends to be our long tail. Those are smaller customers, etcetera. In enterprise, the issue was downgrades. And, I mean, we we had some anomalistic things happen this quarter. For instance, with a handful of customers that we saw downgrades in terms of seats because two companies merged together, and those mergers were synergistic and resulted in just fewer total employees. And we saw that across several regions. I think it was more coincidence than a trend. You know, we also saw some companies that I think were being more cautious because of just the ongoing uncertainty in the macro environment. I mean, I would that the macro continues to be uncertain, for some folks. And it's a lot of it is driven by different reasons than maybe it was driven by two quarters ago, but it's still uncertainty. And so, we need to be more proactive in helping customers understand how we become part of that solution and help them find additional operating margin, help them create a help them reduce the number of people necessary to do things, free people up to build and deliver top-line revenue. And that's something that I'm confident, you know, our enterprise Salesforce is scaling towards, and certainly our top reps do that very, very effectively. To your point on seasonality, you know, our quarters have become more back-end loaded as we've shifted our focus to enterprise, and April was a little bit of a weird month. But, you know, I would say that our performance is really driven by our execution as opposed to anything macro-related, and we're committed to addressing that quickly.
Howard Wilson: Yeah. And I would just add to that that Jen, We have a number of post-sale changes since our chief customer officer joined us, which is really changing the way in which we think about renewal management in a far more proactive way. So I think those changes from an operational perspective will help mitigate some of the type of retention issues that we saw in Q1.
Miller Jump: It's really helpful. If I could just sneak in one more for Howard. Sure. Given, you know, pivot to enterprise, we've got, I think, really constructive pipeline commentary you gave at the beginning of this year. As well as, you know, reps becoming more mature as we move through this quarter. Curious just how that translates into your expectations for net retention rate as we move through the year and maybe what's baked into guidance there? Any general characterization of that? Yeah, sure. So the
Howard Wilson: the way that we're thinking about net retention for this year is we expect it to be in a range of 103% to 105%. Part of that is because we, you know, when you look at net retention, it's a trailing metric for us. So any shortfall that you might have in one period then carries through into the next period. So when we look at it, we've modeled into that the effects from Q1 through the rest of the year. And taken into account how we would expect to see reps ramp as we go through Q2, Q3, and into Q4. And that's in with that respect, we would expect to see some change or shift in the dollar-based retention through the year. What I would say is what's positive is that we have a lot of opportunity for expansion with our customers. So even in this quarter, we saw 25% of our enterprise customers expand with us albeit small expansions. So the opportunity is there. I often look at our customers who spend more than $100k with us, and they only represent 6% of our total base. So the opportunity is there for us to get a whole lot more customers into that cohort spending more than $100k. So our enterprise sales team have a lot of opportunity ahead of them, since we have this great base of customers today. Are ripe for expansion, and that goes well with the increase that we're seeing in terms of new customer acquisition.
Miller Jump: Thank you very much.
Operator: And next, thank you. We'll turn to Matt Bullock with BofA. Matt, please go ahead.
Matt Bullock: Great. Hi, Jen and Howard. This is Matt Bullock on Thanks for taking the question. I wanted to touch on billings. So looked like a pretty strong quarter. You know, billings accelerated to 7%. Over year versus 5% last quarter, but TTM billings decelerated a tick. I know you guide to TTM billings, but maybe could you help us think about what the better indicator is for the underlying strength of the business going forward?
Howard Wilson: Yeah. So the trailing twelve months billing tends to align more closely with our annual recurring revenue number. So that gives you a clearer picture than the quarterly billings because our quarterly billings are often to a lot of fluctuation because of the way in which we co-term with our customers.
Matt Bullock: Understood. Thank you.
Operator: Okay. Next, we are going to hear from Andrew Sherman at TD Cowen. Andrew, please join us.
Andrew Sherman: Oh, great. Thanks, Jen, Howard. Good to see you.
Jennifer Tejada: Hey,
Andrew Sherman: Interesting win, Jen, on the AI research company, 6-figure win, and maybe just some more color on how this
Andrew Sherman: deal came about. Is this a big household name we would all be familiar with? What products and use cases are they using? Is there room for additional expansion from here? Anything like that?
Jennifer Tejada: Yeah. We were with several of the household names that you would be familiar with in the AI world, and we're getting a lot of confidence from our ability to win. These folks are incredibly highly valued. They have a lot on the line in terms of their delivery and execution, and they are pure tech companies. So the technology needs to work, and it's not perfect. I mean, we all know that all technology is complicated and increasingly more complicated. It doesn't work all the time. But when you're also dealing with the combination of LLMs, building infrastructure to support those LLMs, managing agents and applications associated with those LLMs. It's a new operating frontier. And we are perfectly poised to meet that challenge right now. So we're finding as long as we are with the right technical leader who has a vision for what their operations need to look like and is also thoughtful about end-user experience and the cost of failure. And what that looks like that there's a clear path. And this new set of use cases around managing the operations of your AI investments whether they're your hardware investments or energy consumption or app agents, is one of the things that is expanding our TAM. And so we're starting to see kind of traditional, like, I just need to manage my platform, my products, services well. And I need to have people well orchestrated if something does go wrong to wait. How can I integrate directly into some of these products and services to improve the robustness and the reliability of the service to the end-user themselves? And in some ways, you can think about it as an adjacent, very similar metaphorically use case to incident management, but the stakes are a lot higher. The technology is more complicated, and time is much more important. The cost of time is much higher. And the last thing that I would say is there's a lot of scrutiny around the industry associated with security reliability, and resilience. And so some of the smaller players just can't rise to that occasion from a technology perspective.
Andrew Sherman: Great. Makes sense. Nice. How did one more for you, Jen. How did the non-incident management products perform in the quarter that had been a pretty good growth driver for you most of last year? Just curious how that trended this quarter?
Jennifer Tejada: Yeah. AI ops continues to sort of be at the front of the helm, and it's interesting to me when people ask me about our AI products. It always there's a lot of currency, and newness in that question, but we've been at this AI thing for now eight and a half years. So our AI ops offering is becoming increasingly mature, and then we're also seeing new use cases around it develop. And I'll give you an example of one. Where customers are asking us to help them understand or identify ways they can reduce the cost of observability spend. So, you know, the people are writing huge checks for observability. There's a lot of signal coming in. Or a lot of events coming into their teams and ops teams to try and manage. And not all of that event flow is signal. A lot of it's noise. And most of our customers are using five, 10, 15 observability players to try and manage their operational environment. So AI op, one of the use cases for AI ops is looking at how do I manage that cost better and that investment better, get a higher return on investment by really understanding where I'm getting signal versus where I'm getting where I'm sending noise unnecessarily. And so as that product matures, seeing more use cases than simply during incident or post-incident analysis. We're also seeing customers use AIOps to really try and stack rank and understand, like, where is their or tech debt driving the most cost. Which should they be prioritizing in terms of burning down that tech debt? Or, you know, where might they push or prioritize some investment to reduce operational risk across their technology ecosystem. And so even as I described these use cases, customers are coming at it from very different places in the continuum of just getting started to being operationally mature and really fine-tuning.
Andrew Sherman: Excellent. Thank you.
Jennifer Tejada: No problem.
Operator: And next from Craig Hallum, we'll hear from Daniel Hibshman.
Daniel Hibshman: Jen, Howard, good to see you.
Howard Wilson: Hi, Daniel. Hi, Daniel.
Daniel Hibshman: I just wanted to start off with just with profitability guide. I don't think we've really touched on that too much yet. In terms of revising that upward, you know, is this cost cuts in certain areas? Is this not layering in, you know, investment previously expected? Just cost coming in later? What if anything needs action? Just kinda walk us through that.
Howard Wilson: Yeah. Sure. So Daniel, we have a track record of you know, improving operating margins. So I take a, you know, a long-term programmatic view around how do we help ensure that the investor is delivering and that we are able to become more efficient over time. And so certainly as we've looked through the rest of this year and into next year, the investments that we've made to date still provide us with capacity to be able to exceed our growth goals, but also ensure that we're continuing to invest in innovation. So we've taken a view on operating margin for this year. And in fact, if you look at our long-term operating margin, goal of 30%, we have a view around how do we in fact ensure that we're continuing to be a profitable growth company. That means that when I look through our sales and marketing from an efficiency perspective, have an opportunity there to be more efficient. So that's an area that we will continue to focus on. Of course, for us, the bigger picture is that milestone around getting to GAAP profitability. And that really is reflective of us you know, taking a serious look at how do we improve or reduce stock-based compensation, example, where we've seen a reduction even in this quarter, it was seven percentage points lower than what it was in Q1 of last year. And continuing to then manage things like dilution and share issuance as part of that process. So for us, it's a long-term view. Continuing to put in place a programmatic multifaceted approach to ensure that we get to improving operating margins.
Daniel Hibshman: Okay. Thanks, Howard. And then just in terms of clarifying the messaging around, you know, Rob, in the first question was asking about in terms of the guide implying a bit of a decel in the revenue growth rate to by the back half to around, call it 5%, 6% by Q4. And we discussed on the call here, you know, some expected improvements through the back half from, you know, hopefully, you know, CRO coming in, you know, reps ramping. Just talk me through the there the message to get that clear in terms of expecting some of the decel in revenue, but also expecting improvement. Just where should we be looking for that improvement if not in the revenue top line? Is that internal things? Is that like quota attainment sales cycles? Is should we be looking at an ARR? Just clarifying around that.
Howard Wilson: That is correct. So we would expect to see because most of our revenue is subscription-based, we would expect to see improvements in the bookings, which won't translate into much benefit for revenue within this year. So just the nature of the revenue recognition model means that what we get to recognize is reduced as we go further through the year and having the back half of the year expecting to see that improvement in execution reflected in bookings in ARR effectively in the back half of the year means that that revenue benefit largely flows into next year.
Daniel Hibshman: That makes total sense. Thanks, Howard. Jen.
Howard Wilson: Thanks, Daniel.
Daniel Hibshman: Thank you.
Operator: We do have a couple more analysts lined up. Just a reminder to our team out there, if you'd like to ask a question, please use Zoom to raise your hand. Jaden, is with will you
Jaden: Great. This is Jaden on for Pindulimbora.
Jaden: Thanks for taking the question. Just a quick one.
Jaden: I understand the trailing twelve-month billings guide is 7% in Q2. But can you talk about how you're thinking about the rest of the year? Should we expect more stable trends there, or could you see some acceleration? Thanks.
Howard Wilson: Yeah. Hi, Jaden. So in terms of billings growth, we haven't provided any guidance beyond the numbers that we provided in terms of this next quarter on a trailing twelve months basis. But directionally, the way that we're thinking about it is that in line with our sales reps ramping, we would expect to see overall better bookings performance in the back half of the year than we would in the front half of the year. That typically translates into improvements from a billing perspective, and we would expect to see it show up in improvements from an ARR perspective.
Jaden: Great. Thank you.
Operator: Team. It looks like we're rounding it out with Jacob Zubib from William Blair. Jacob, if you'd like to join us.
Jacob Zerbib: Yeah. Hi, team.
Jacob Zerbib: This is Jacob on for Jacob, and thanks for taking my question.
Jacob Zerbib: I just wanted to touch on what you're seeing in terms of visibility from large customers. So you previously highlighted that multi-product deals are starting to give you more visibility to pipeline, but just given some of the moving pieces in sales and the broader macro, has anything changed on that front?
Jennifer Tejada: No. I think the enterprise market environment and demand for the multiproduct platform and, in fact, multiyear term deals continues to be strong. And this is really about us executing. And the thing that gives me confidence is I look at some of the transfer deals we do each quarter and we talk about, you know, a few of them in prepared remarks. It really is about replicating and scaling the sort of recipe that works there. But there's the demand for our products and services, particularly AI-enhanced incident management and AI ops as well as automation, continues to be very strong. Some of our customers move faster than others. Some move slower than others, and we saw some of that pace pick up. In the native AI segment of customers, and then we'll see some customers that mature much more slowly. But I think the opportunity to capture that demand is within our control. We've expanded our TAM by adding new products and services to the platform, We're seeing a lot of interest in our AI-centric products, but we also see that new use case for helping our customers manage their AI product services and investments. So I'm very confident about our ability to accelerate growth in the back half and to do so while you know, maintaining and delivering on our commitment to improve our efficiency to get to, GAAP profitability, and to, you know, increase the total shareholder return that we're delivering to our shareholders.
Jacob Zerbib: Got it. Thank you.
Jennifer Tejada: Thank you.
Operator: Team, we had one more hand go up if you'll allow it. I think we have a member in from Scotiabank. Add in for Nick. I just need to unmute. Thanks.
John Gomez: Hey, Jen and Howard. You have John Gomez on for Nick Alman. Thanks for taking my question. Hey. So as we think about the potential for AR to reaccelerate back to double digits. Can you maybe just talk about what the biggest lever there is that needs improvement? You know, is it from gross expansion improvement? Is it more on the retention side? And the follow-up is customer adds continue to be solid. So can you just comment on how the net new AR from expansion and upsell should trend versus new customers as we think about the path to reacceleration?
Jennifer Tejada: Yeah. Our customers tend to land small and grow over time historically in that transactional model that served us very well over many, many years. But as we've transitioned to, you know, more of a strategic enterprise motion, The lands are getting bigger, but they take longer. I think the area of focus for us very clearly is one, making sure that we retain our strategic customers and then we grow those customers through ensuring their value realization. And that's where having Allison, our new chief customer officer in place to sort of mature the post-sale services, sale adoption support that I think helps us get there. I think there is a tremendous amount of untapped white space within our base alone. But we also rely on what has historically been a strong econ kind of, product-led motion for those lands. So it's I would never say it's one or the other, but retention and expansion of our most strategic large enterprise customers and execution around that demand that we see in the market is our focus. Doing that more efficiently is also important. Is that helpful?
John Gomez: Super helpful. Thanks, guys.
Operator: Team, it looks like we've made it to the end of our questions. Jennifer, we'll turn it to you for any final remarks. Thank you.
Jennifer Tejada: Thank you all for joining us. Today. I know it's a busy earnings week and just really appreciate your time. And most of all, I really appreciate our shareholders and our customers for their continued partnership and support and appreciate, the customer obsession and dedication of our employees. So, hope you all have a great day. Thanks for joining us.